Operator: Good morning, and welcome to the MarineMax Inc. 2019 Fiscal Third Quarter Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the call over to Brad Cohen of ICR, investor Relations of MarineMax. Please go ahead, sir.
Brad Cohen: Thank you, Operator. Good morning, everyone, and thank you for joining this discussion of MarineMax' third quarter earnings call. I'm sure that you've all received a copy of the press release that went out this morning. But if not, please call Linda Cameron at 727-531-1712, and she will e-mail one to you right away.  I would now like to introduce the management team of MarineMax: Mr. Brett McGill, President and Chief Executive Officer; Mr. Mike McLamb, Chief Financial Officer of the company. Management will make a few comments about the quarter and then be available for your questions. And with that, let me turn the call over to Mr. Mike McLamb. Mike?
Michael McLamb: Thank you, Brad. Good morning, everyone, and thank you for joining this call. Before I turn the call over to Brett, I'd like to tell you that certain of our comments are forward-looking statements as defined by the Private Securities Litigation Reform Act. These statements involve risks and uncertainties that could cause actual results to differ materially from expectations. These risks include, but are not limited to, the impact of seasonality and weather, general economic conditions and the level of consumer spending, the company's ability to capitalize on opportunities or grow its market share and numerous other factors identified in our Form 10-K and other filings with the Securities and Exchange Commission. With that in mind, I'd like to turn the call over to Brett. Brett?
William McGill: Thank you, Mike, and good morning, everyone. I want to start out by saying how proud I am of our team's ability to produce 3% same-store sales growth, an even greater unit growth in a quarter in which the industry clearly had its challenges. The industry data for the month of June, which showed a 14% decline, combined with the choppy data throughout the quarter, is evident that trends worsened throughout the quarter. To generate the top line growth in such an environment required us to be proactive and invest more in promotions and marketing, which drove sales but at a cost. Early indications are that we continued our long track record of market share gain. Additionally, we did it while incrementally raising gross margins, truly a testimony to our strategy, team, brand and strong execution. Heading into this fiscal year, industry expectations were for unit growth in the mid-single-digit. We built our business plan with that understanding. As such, we made investments and increased certain cost to drive an even greater growth. Now 9 months in, the industry is tracking negative 6% through June. Feeling the uncertainty, we increased marketing spend even greater to provide incremental growth and market share, which usually lead to repeat sales in the future. Because of seasonality, it's challenging to react fast enough when trends decline like they have. June is a large quarter for the industry. And during this busy season, our required resources escalate as do sales and delivery. As we work through the September quarter and look to fiscal 2020, we will be better aligned in costs with industry condition. Despite the challenging environment in the quarter, there are many positive things to focus on. I already mentioned the year-over-year unit growth, which is outstanding. Generally, we did not see significant discounts. Most dealers and manufacturers we have spoken to plan to incrementally reduce inventories as we work through 2020. Our margins were generally solid throughout the quarter. Additionally, we continue to make improvements in our higher-margin businesses, like finance and insurance, service, parts and accessories, brokerage and marina. As we increase those businesses as a percentage of revenue, they help to drive higher consolidated margins. While we felt the tougher environment, we did create unit growth across many brand, segments and market. In terms of dollars, [indiscernible] continues to shine because of the larger boat business we generally do in the state. Another bright spot is that this is the fourth consecutive quarter of positive same-store sales following the discontinuance of the Sea Ray larger boats 40 feet and bigger. Our team has done an amazing job in breaking other brands and categories to drive growth. Given that those larger Sea Rays made up over 10% of our revenue, combined with the tougher environment, it is especially noteworthy to point out our same-store sales growth in this quarter.  Outboard power product is still preferred in most of our market. It does seem that the more premium the product, the larger the product, the stronger the demand. The technology around boats, including our outboard engine, is helping to pique consumer interest. Joystick technology, integrated dashboards and systems, telematics and other enhancements are all making boating more enjoyable. In this regard, innovation that continues to be introduced in the marketplace should be a positive for the industry. For us, the brightest spot is the fact that we delivered earnings growth in this environment and increased our earnings per share to $0.84. Along those lines, we produced a significant amount of cash shown by our strong balance sheet. Regarding the inventory, we are comfortable with the mix and age, yet acknowledge that we will align with dollar level with industry demand as we work through 2020. Following up on the mid-April acquisition of Sail & Ski in San Antonio and Austin, Texas, the integration has gone very well. Their culture and practices were very similar to ours and they are performing well as part of our team.  We recently announced the merger with the premier superyacht services company in the world, Fraser Yachts, which is based in Monaco. Fraser, which was owned by the Azimut Benetti Group, provides brokerage, charter, charter management, yacht management and crew placement services to yacht owners around the world, with their two largest operations being in Monaco and Fort Lauderdale. We are excited to have teamed up with Fraser. This acquisition is exactly the type of significant opportunity that MarineMax can make, given our strong balance sheet and proven ability to successfully integrate and source accretive acquisition. We also are excited to expand our international capabilities and geographic reach, potentially unlocking other future opportunity. We are pleased the entire Fraser team is remaining in place and will continue to operate and manage its activity. We believe we can learn from what they do, and adapt some of their practices into the rest of our operations to enhance the brokerage services and related activity that are source performed today.  We are also glad to be able to expand with Benetti Class of yacht, which was executed at the same time as the Fraser merger. The Benetti Class starts generally at 95 feet and goes to 150 feet. It will provide a very good migration choice for our current customers who outgrow the size of products we currently offer. We have the United States and Canada as our market, which gives us a strong area to create future sales. Benetti Class gives us another brand with a very large market in which to operate in addition to Galeon, Azimut, Aviara, Ocean Alexander and Aquila.  Let me share that our focus on service and marinas is an area that continues to gain momentum. We have seen good progress in our efforts to improve training for our service team, which is being reflected in increased margins and growth. Additionally, the investments we've made in marina facilities over the last several years are adding stable storage cash flow while also adding to gross margin expansion. We will continue to stay focused on both of these opportunities. And with that update, I'll ask Mike to provide more detailed comments on the quarter. Mike?
Michael McLamb: Thank you, Brett, and good morning again, everyone. Let me start by thanking our team for the growth they generated in what was a tough quarter for the industry. For the quarter, we grow revenue over 6% to $384 million driven by 3% same-store sales growth. This growth was on top of 8% last year. As Brett mentioned, comparable new unit sales were up in the low mid-single digits, which means that our same-store sales growth was driven by units rather than an increase in our average unit selling price. We believe we, again, gained market share in the quarter.  Our larger boat business was fine, but units outpaced it. Our gross margin was up about 40 basis points. The increase was driven by stable margins on products, combined with increases in our higher-margin businesses.  Selling, general and administrative expenses were up about $6 million when removing the nonrecurring expense item last year. The dollar level of expenses is partially up because of Sail & Ski merger as well as expectations that we'd be driving even greater revenue, plus normal increases given the actual increase in revenue. As Brett said, we are working to better align expenses with the industry demand. For the quarter, interest expense increased due to increased borrowings from additional inventory. Our pretax earnings were up modestly to about $26 million, with earnings per diluted share increasing to $0.84, which is up over 6% compared to an adjusted $0.79 last year. Turning to our balance sheet. At quarter end, we had about $72 million in cash. But as a reminder, we have substantial cash in the form of unlevered inventory. Our inventory levels at quarter end were up about 15% or $434 million. About 1/3 of the percentage increase is due to the acquisition of Sail & Ski. So while the inventory is elevated higher than sales trends, it's not as bad as the absolute increase would indicate. Nonetheless, as Brett said, we are already working with our manufacturers to align inventory with industry demand.  The aging and mix of our inventory are in good shape. Looking at our liabilities. Our short-term borrowings increased to $290 million due to additional inventory. Customer deposits were not the best predictor of near-term sales because they can be lumpy due to the size of the deposits and whether a trade is involved or not, are up 6% over last year. Our current ratio stands at 1.48 and our total liabilities to tangible net worth ratio is 1.16. Both of these are outstanding balance sheet metrics. Our tangible net worth was $331 million or $14.52 per diluted share. We own about half of our locations, which are all debt-free, and we have no additional long-term debt. Our balance sheet is a strategic advantage that allows us to capitalize on opportunities as they arise. Now turning to our annual guidance. Given the recent worsening of industry trends and the likelihood that challenges in the industry will persist, we believe it'd be prudent to lower our guidance for fiscal 2019 earnings per share to $1.60 to $1.70. Obviously, we're going to strive to do better. Our guidance considers that we're up against 22% same-store sales growth in our fourth quarter last year, and factors in the contribution from our Sail & Ski acquisition made earlier in the year and now includes a few cents from the Fraser acquisition this quarter. Our guidance now assumes same-store sales will be flattish to up slightly on an annual basis. We believe this further reduction in the same-store sales expectations make sense until we start to see industry trends improve going forward for our key categories. Our guidance uses the share count of around 23 million diluted shares. It also uses an expected 2019 tax rate of 27% and excludes the impact from other potential acquisitions we may complete. As for current trends, July should finish up over last year. Our team continues to outperform. We are continuing to be aggressive with promotions and marketing efforts to drive sales. However, we need to produce solid results for the meaningful months of August and September still. With those comments, I'll turn the call back over to Brett for some closing comments. Brett?
William McGill: Thank you, Mike. As we move forward, now as an even more global company with our recent Fraser acquisition, as a team, we are committed and focused to enhance our results. We will also continue to pursue and evaluate additional opportunities to complement the business long term. We believe potential pent-up demand is still out there, and we will utilize unique MarineMax event to drive sales and to exceed our customer service expectations. Again, one of the differentiators of MarineMax is our commitment to ensure our customers are enjoying time in the water with their family and friends as we improve, and this investment ultimately result in loyalty and future business that yield ongoing market share gain.  Externally, we will pursue opportunities for growth, which includes acquiring great dealers and bringing them into the MarineMax family and strategic real estate acquisitions, specifically marina, that can help drive our overall business more effectively.  Additionally, we will stay disciplined in order to improve our leverage as we utilize our digital strategy increased efficiency, as we more effectively rightsize our cost structure in the coming quarters, and as we further grow the reach of our higher-margin businesses. Ultimately, getting more customers on the water with their friends and family through our differentiated customer approach will help MarineMax drive future new customers and will result in even happier existing customers. So with that, operator, let's open up the call for questions.
Operator: [Operator Instructions]. We'll take our first question from Joe Altobello of Raymond James.
Joseph Altobello: Question, I guess, for Brett. You mentioned earlier that you don't think the industry by and large is in discounting mode. Yet the numbers this year look pretty ugly and the numbers between, as you mentioned, even uglier. Why don't you think that we'll see more discounting across the retail landscape?
William McGill: Good question, Joe. We're seeing kind of the standard type of incentives as they relate to promotions and activity. So there has been discounting in that regard, but it's not -- we haven't seen it, we haven't felt the competitive pressures on that quite yet. But I sense that as they try to bring inventory levels in place, we might start seeing that. But we're partnered with some of the best brands and manufacturers out there to work through that.
Michael McLamb: It seems like, Joe, that post the great recession, ours got pretty hard. It seems like manufacturers and dealers alike just do a better job also on this, as trends got softer and the people started making reductions then as well.
Joseph Altobello: Okay. Understood. And then secondly, just to kind of follow-up on that, Mike you mentioned much of the inventory increase was due to the acquisition. How much does your employee need to come down over the next few quarters here?
Michael McLamb: So big picture, I'll let you know that if our inventory is up 15%, if you take out Sail & Ski, it's up roughly 10%. We're tracking 5% same-store sales growth through June. So I would tell you, we're 5% heavy, arguably, maybe a little bit more. If we're predicting flattish to up slightly same-store sales, maybe we're 7% or 8% heavy. So -- and my guess is that's sort of comfortable with other people out there which honestly is not that big of an outbalance. I think it's pretty easy to start aligning that with manufacturers.
William McGill: And the units of [indiscernible] will have to factor into that.
Michael McLamb: Yes. That's correct. Yes, that does point to it.
Operator: We will now take our next question from Michael Swartz of SunTrust.
Michael Swartz: Just to follow-up on Joe's question around inventory, and I think you set up inventory dollars were about 10% if you exclude Sail & Ski. I guess what would that mean for units? And then when you look at the adjustments and -- to orders and inventory that need to be made, do you -- is this a 1-, 2-quarter event or do you think this is something that bleeds into the spring or summer of 2020?
William McGill: Yes. Units are up higher than dollars right now. I don't -- as a percentage, I don't have the number right in front of me. Traditionally, the industry, it takes a couple of quarters to bleed down just because of seasonality. It'd be tough for the manufacturers to swallow the whole reduction in 1 quarter and then ramp-up to normal levels. So normally, over all the years we've been doing it, I think it gets adjusted throughout 2020 as manufacturers kind of level set their production.
Michael Swartz: Got you. Okay. And obviously, weather had an impact on the quarter and on the year-to-date. I think people are just trying to figure out how much of this is weather versus how much of this is maybe something else? Is there anything you can do? I mean, looking around, your -- the various regions you operate in, were there areas that were stronger than others? Maybe that one is weather impacted? Or was it pretty much across-the-board softness that you saw?
William McGill: We literally saw a mix of everything. We saw areas that were heavily impacted by weather, we saw areas that were performing well. We saw some areas that didn't have weather events that were also well. So -- it's pretty out like that, but that's been the thing. It's been choppy and there's bearing to soften it.
Michael Swartz: Okay. That's helpful. And then just with regards to some of the softness we've seen in the industry this year and some of the concerns around the inventory, et cetera, does that change the calculus with M&A? I mean this is bringing people to the table when there are these kind of periods of concern? I mean if so, are you seeing any changes in market valuations?
William McGill: Well, I can comment to just the types of acquisitions and people we're looking at are premium-type acquisitions. So I think they probably have a pretty resilient business model that, yes, we'll be more cautious and so will they. But I don't think it affects the type that we're looking at. Mike, I don't know if you want to...
Michael McLamb: Yes. No. I would agree with you. There are multiple, which we pay, really doesn't change as much. Obviously, dealers' earnings begin to change, and so you're effectively -- it could have a reduction in purchase price if times do get tougher. But I think you're also asking to, just like the phone, ring more or something like that, maybe one of your questions. And I think naturally, if things are softer, you do get more opportunities to at least soften the odds about merging.
Operator: We will now take our next question from Eric Wold of FBR Riley.
Eric Wold: A few questions. One, I guess, we think about kind of the areas you've seen softness. I know it's always tough but -- to know why someone doesn't come in a store, maybe chooses not to buy a boat when they're still at home, I guess, the guy that do come in. Are you seeing less traffic overall in the stores as a function of people getting in there and maybe taking longer from kind of interest to close? Are they getting more concerned about pricing, features? Then they get kind of into that -- the bottom line, maybe kind of some sense of kind of what you're seeing from the buyers?
William McGill: Yes. I think we have noticed slower traffic in the stores, which obviously is what pushed us to initiate the marketing initiatives and additional driving the business, which obviously is more and more online marketing. But yes, traffic was slower, which is why we were innovative with some things like our online boat sale and boat show and those sort of things. So it's -- but yes, little softer in traffic.
Eric Wold: And then in terms of -- you said when you're buying any -- you see any more worries around price or features or whatnot that are still staying kind of at the high level it's been?
William McGill: We really have not seen that at all. I mean the innovation on the product still is driving people in the door. We talk to customers regularly, of our event -- just recently in an event, and people talking about the ease of the joystick operation. Just we're not hearing concerns once we get them in the door. They still want to go boating with their family.
Eric Wold: Okay. And then just lastly, coming up years since the largest Sea Rays are kind of discontinued. Obviously, you worked those through earlier this year. If you think about kind of where you were with those models and kind of where you are now, kind of the replacement, Azimut and Galeon, are you getting to a point where a business kind of been evened out? Are you still kind of down from where you were before? And what did you do to kind of make up that GAAP and sell?
Michael McLamb: We've technically made up the GAAP each quarter, and we've got positive same-store sales growth every single quarter. It's a combination of the Azimut, Galeon brands, other segments we're in, and then Brett commented on it, it's a little bit of everything. It's 10% of our revenue at the time they announced it. And so honestly, it's pretty incredible that through trading and other efforts, we've been able to get our team very focused on other areas of the business so fast.
William McGill: I would say it's not behind us. It's part of the marketing spend, it's consumers that bought Sea Rays for many, many years. So just to directly replace that is still taking some time.
Operator: We will now take our next question from James Hardiman of Wedbush Securities.
Sean Wagner: This is Sean Wagner on for James. I was just wondering if you could provide any color on the sales cadence within the quarter. Did it follow the industry data that you pointed to? And if so, I guess, is July shaping up to be -- to finish up over last year, kind of what changed? Is that all weather related?
Michael McLamb: Yes, I can comment that I think we said on our April call, we're going to have a good April. We had a very good April, the industry data reflect a decent data. May was softer in the industry data, and I think it would be consistent with what we saw. June was softer, very -- well, it's much softer based on industry data. And I think we would agree that June was tougher than we were expecting. With July, with our promotions that we've got in place, and then we, we finished up in units in the quarter. And so for us to be up over last year may not be that much of a surprise since we were up through the June quarter as well.  So I'm not quite sure what the industry data is going to show. I do hear some reports that in some markets, weather has been better, so to the extent weather has impacted sales, which I think there is clearly, impact to some degree. Maybe it's got a little better in some markets in July. So worth the wait and see what the data shows when it comes out in mid-August.
Sean Wagner: Okay. And to that point, from a weather perspective, are you seeing any kind of waterway or water level issues that are leading to boating restrictions in your markets? And if so, how long do you think that, kind of, those issues might be expected to last?
Michael McLamb: We have any today. We did have some in the June quarter, I think they're all cleared up, right?
William McGill: Yes, yes. There was some pressures here and there, but none of our major markets are impacted by that right now.
Sean Wagner: Okay. And last question, is there any color you can provide on kind of how the individual brands performed. I know you talked about the larger and premium brands being the -- or models being the ones that are driving kind of the growth. But is there any kind of individual brand color you can provide?
Michael McLamb: We don't typically break down within MarineMax about our brand. I mean the industry data would show you that certainly certain types of aluminum product. Aluminum, efficient, very -- probably the most soft, maybe some pontoons, some less expensive center consoles. Most of everything we carry is premium, and premium, I think, has held up better. So I'll make that comment.
Operator: We will now take our next question from Ronald Bookbinder of IFS Securities.
Ronald Bookbinder: You gave some guidance for the year-end share count, around 23 million, which would indicate some share repurchases. Your Board recently announced that it had approved to plan. Were you active at all on the share repurchase program during the quarter? And given the drop in the share price, would you expect to be active in Q4?
Michael McLamb: Yes, great question, Ron, and good morning. Yes, we were active. We, of late, became very active. And so it all depends on where the share price is throughout the quarter but the -- at these prices and below, that are -- we have [indiscernible] plan in place that will be triggering that would potentially take our average share count down below what we had said from a guidance perspective. But no, we're out there. We think it's obviously an attractive opportunity at prices where we're at.
Ronald Bookbinder: How many shares did you buy during the quarter? And what was the cost?
Michael McLamb: I don't remember exactly. It was buying some at higher prices that fell to, but obviously that had bought more. It's got triggering point. I don't remember the total. My memory is, as of July 1, we probably had about $1.2 million or $1.3 million left under the plan that we'd be -- that would have been buying here of late, and we'll continue to buy in the fourth quarter.
Ronald Bookbinder: Okay. And at the end of last quarter, you still had, I believe, a couple of Sea Rays left, and you run in some promos to clear the last of the Sea Rays. Did that impact the gross margin despite you doing very well on the gross margin? Was that a headwind that you had to overcome?
Michael McLamb: Not so much this quarter. I think going through the March quarter it was -- I think Brett brings up a good point though that there are still training efforts, and costs that are down in the SG&A there are associated with the -- us replacing the Sea Ray sport yachts and yachts.
Ronald Bookbinder: But while you might have some extra costs there, does Galeon and Azimut carry light gross margins to Sea Ray or higher gross margins? How does the gross margin compare on those products?
Michael McLamb: So the Sea Ray provides very good margin opportunities. On a combined basis, Azimut and Galeon should get us to be able to replace the Sea Ray margin with additional effort work. Today, they don't replace it 100%, but we're working to replace it overall.
Ronald Bookbinder: Okay. And lastly, did you comp down in June? And I think you said on this call that you're comping up about 5% for July. If you comp down in June, and then swung around so much, is that just driven by your innovative promotions? Or have you seen a bit of a shift in the consumer?
Michael McLamb: June was positive slightly. In June, it was positive. It was also positive in units, I would say. We did drive positive unit growth in the month of June, albeit a little bit, but we were positive. Given the industry data it's a real testimony to the strategies that we put in place.
William McGill: But nothing here in July seems much different than in June from a consumer activity or anything like that.
Michael McLamb: Just to put it on perspective, Ron. So June had -- we were up against an 8% compare. And for the quarter, we did 3% growth. We're now beginning to 22% compare, so we're up against a much more meaningful tougher quarter. It is true, July is up, we just got to really keep producing in August and September. That's the -- if you step back and just look at the remainder of this year, that's the challenge ahead of us.
Operator: We will now take our next question from Steve Dyer of Craig-Hallum Capital Group.
Ryan Sigdahl: It's Ryan Sigdahl on for Steve. Just following up on kind of the same-store sales guidance, and I realize it's a tough comp here in Q4. But by my math, you guys have reported kind of a mid-single-digit same-store sales growth through the first 9 months. July is expected to be up year-over-year. So it implies some fairly large declines in August and September. Is that primarily a comp issue? I mean industry data has been challenging here. For the past 2 months, you guys have nicely outperformed. So any color there would be helpful.
Michael McLamb: Yes. I think it's just largely looking at the data and how it's gotten meaningfully worse. As we look into our fourth quarter, kind of where the quarter rolls, July is a pretty important month. September is even a bigger month, you got a bunch of boat shows to pick back up. It's 2 big book ends with September being even bigger, and then August tends to be a kind of a wall between the 2 bigger months. And so just look at what we did last year, it's just a formable comp to go up against with eroding industry data.
William McGill: Yes. An overarching industry information.
Michael McLamb: Right. Right.
Ryan Sigdahl: Got you. And then as it relates to the Fraser acquisitions, it's amazing color that you guys gave there. But any additional financial detail that you can give? Purchase price, revenue contribution and then expected annual accretion? I know you mentioned the quarter, that'd be helpful.
Michael McLamb: We'll give the annual accretion in -- on the October call. In the place that Fraser plays, in that space, all that bigger houses are all very confidential about their revenue and about their financial information. And so nothing gets disclosed for competitive reasons. Obviously, given that we're close to $1.2 billion or thereabouts, it's not a real big material revenue driver for us. It's just they're a very great strategic acquisition that we think we can continue to grow. And so we'll give color around the earnings part of business as we give our annual guidance in October.
Ryan Sigdahl: Great. Last one for me. So you mentioned getting more aggressive on marketing, and last quarter, you mentioned being a more aggressive than the industry from a pricing standpoint. Is that marketing related to pricing as well? And then do you expect to continue being more aggressive than the industry as far as pricing goes going forward?
William McGill: I think our marketing strategy is really around event promotion, keeping customers active, driving leads and traffic and not so much focused on pricing. Of course our pricing strategy is very important, but it's not a discounting pricing aggressiveness that we're really shooting for.
Operator: We will now take our next question from Michael Swartz of SunTrust.
Michael Swartz: Just a few follow-ups and one more of a clarification, Mike. When you talk about July being up, are you saying your comps are up or just revenue is up year-over-year?
Michael McLamb: Based on another week of expected closings, I would think our comps are going to be up.
Michael Swartz: Okay. Okay. Perfect. And then maybe for Brett, you're talking about maybe realigning cost just given what you've seen in the end market. I think you'd comment that you're a little more aggressive on the marketing side. I'm just wondering with your commentary now maybe pulling back, is that to say that you've pulled back on marketing? It doesn't sound like it. I'm just wondering if that has an impact on your full year outlook with comp store sales.
William McGill: Yes, I think we're going to be very surgical on how we look at things. Marketing won't be where we just pull back. It'll be very strategic at how we think through it. We're going to look at -- we've ramped our businesses up with infrastructure and cost within the stores to support a higher growth rate, and we're going to adjust that down. That's basically what we're going to do.
Michael Swartz: Okay. So it sounds like some of this is more of the behind the scenes cost relative to the consumer facing cost.
William McGill: Correct.
Operator: We will now take our next question from David MacGregor of Longbow Research.
David MacGregor: Just, Mike, you offered all the normal caveats around the interpretation of customer deposit numbers. But having said that, I wonder if you can just talk about what you're seeing in the way of cancellation trends, and are you seeing any kind of acceleration there?
Michael McLamb: No. Good question, David. I think Brett said it, that people who are coming in the door that are talking with us, they're very interested and they're buyers. And so there is no increase in cancellation trends at all.
David MacGregor: Okay. And then I guess, if we see maybe a little more weakness in terms of demand at, admittedly, at lower price points, premium's still strong. Do you expect to see more transition towards used boat sales? And do that impact your mix and kind of your gross margins as you go forward?
William McGill: That's possibly you could see that. But I would say and then back to some of my comments. The innovation of the products and the new models that continue to come out is really driving a lot of business. Consumers are -- I don't think anybody is really -- we haven't seen the consumer drop back into this real value-oriented mode yet. We have people saying, "Oh, I've got to have that new boat with the extra technology." We're still seeing new models and innovation driving sales.
David MacGregor: Good. And then last question for me, it's just -- I realized you want to hold off until next call to talk about the accretion on Fraser. But is there any way you can give us some sense of, within that business, the mix of service revenues versus transactional brokerage revenues?
Michael McLamb: Well, it's all service revenues including the brokerage. That's all going to be higher margin revenues and business to us. Likewise, the expense structure's a little higher, expense structure relative to MarineMax. But its net profit is higher than us as well. It's the best I can tell you right now.
David MacGregor: I guess as I was trying to get it as you were mentioning earlier, just the value prop that they're -- made this crew servicing and staffing. Again, it sounds like there's a lot of other services beyond just matching buyers and sellers. I'm just trying to get a sense of what that mix might look like.
Michael McLamb: Our competitor, well, they don't disclose that. So I'd like to honor that, and not disclose how the revenues are broken down.
William McGill: Sure. But I will say this. Strategically for us, it's one of the interests that we're trying to grow the entire margin businesses, and so that fits very strategically for us.
Operator: Ladies and gentlemen, this concludes today's question-and-answer session. At this time, I'd like to turn the conference back to your host for any additional or closing remarks.
William McGill: Well, thank you, operator. And I know everybody was very busy with a lot of activity today, so thank you for joining our call and being a part of it. Mike and I will be available all day for any questions, and we'll look forward to updating you on our progress on the next call.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for your participation. You may now disconnect.